Operator: Good day, and thank you for standing by. Welcome to the Twist Bioscience Fiscal 2022 Fourth Quarter and Year-End Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the call over to your speaker today, Angela Bitting, Senior Vice President of Corporate Affairs and Chief ESG Officer. Please begin.
Angela Bitting : Thank you, operator. Good morning, everyone. I would like to thank all of you for joining us today for the Twist Bioscience conference call to review our fiscal 2022 fourth quarter and year-end financial results and business progress. We issued our financial results released this morning, which is available at our website at www.twistbioscience.com. With me on today's call are Dr. Emily Leproust, CEO and Co-Founder of Twist; and Jim Thorburn, CFO of Twist. Emily will begin with a review of our recent progress on Twist businesses. Jim will report on our financial and operational performance. Emily will come back to discuss our upcoming milestones in direction, and then we'll open the call to questions. We would ask that you limit your questions to a maximum of two and then re-queue as a courtesy to others on the call. As a reminder, this call is being recorded. The audio portion will be archived in the Investor Relations section of our website and will be available for two weeks. During today's presentation, we will make forward-looking statements within the meaning of the US federal securities laws. Forward-looking statements generally relate to future events or future financial or operating performance. Our expectations and beliefs regarding these matters may not materialize, and actual results in financial periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These risks include those set forth in the press release we issued earlier today as well as those more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on information available to us as of the date hereof, and we disclaim any obligation to update any forward-looking statements, except as required by law. With that, I'll now turn the call over to our Chief Executive Officer and Co-Founder, Dr. Emily Leproust.
Emily Leproust : Thank you, Angela, and good morning, everyone. This morning, we reported record revenue of $203.6 million for fiscal 2022 and $57.3 million for the fourth quarter. We continue to take market shares in both Synbio and NGS by expanding our customer base, delivering differentiated high-quality products and anticipating market needs. In addition, our biopharma business continues to sign an increasing number of partnerships with biotechnology and pharmaceutical companies to conduct discovery and optimization projects. Fiscal 2022 has been one of macroeconomic construction, COVID shutdowns, geopolitical instability and more. And yet, we delivered 54% revenue growth year-over-year and we grew our customer base to over 3,000. In the slide deck for this earnings call, we have included a list of some of our customers who have published conducted webinars, case studies or as nodes using Twist products. You will see that the list is broad and deep and just a contraction of our total customer base. Our Twist team continues to demonstrate exceptional resilience in the face of challenges. Our silicon platform for DNA synthesis enables us to compete in multiple markets that each experienced different market dynamics, hence, reducing risk through diversity revenue and customer base. Taking a minute to highlight our technology. For those of you, who may not have had the opportunity to visit our fab, we have miniaturized the process of making DNA easing traditional DNA synthesis chemistry by making DNA using our proprietary silicon chip platform, we have been able to reduce the amount of reagents used by 99.8% compared to a plastic – plate platform. These reagents are a material driver of COGS, so leveraging this dramatic reduction enables us to achieve significantly lower growth than our competition. The request on each chip, we make show pieces of DNA called oligonucleotides oligos. The oligos are built day by day like stacking Lego blocks on top of another, and then it can go up to 300 bases in length. As a reminder, each base being one of the four building blocks of DNA, ACGRT [ph]. This step of oligonucleotides and silicon chip is common for all of our products. We call it the front end, and it is where half of the magic happens, by magic, I mean, where the technological differentiation originates. The vast majority of our sales are customer products, meaning that the sequences of DNA are defined by [indiscernible]. However, we have designed our technology such that on each chip – on every chip, we can group orders for many customers and multiple projects. Indeed, the oligos for all of these orders are synthesized in parallel on the chip and because each chip can set aside up to 1 million oligos, we can leverage the silicon platform to achieve differentiated scale. Once we made the oligos, we extract them from the silicon chip, and they are then sent to the appropriate back-end workflow. This might be in NGS production, NGS target enrichment power, oligo pools, ADC protein, synthetic controls and so on. Each of these back-end processes is unique based on the SKU and flavor of DNA produced. But typically, operators work 24/7 to run batch processes for multiple orders on commercial automation. Because the front end provides scale, low-cost liquidity, the back-end processes are remarkable by how unremarkable they are. The second half is the magic lies in the overall complex highly alternative processes of capturing an order of designing the oligos of synthesizing multiple orders of multiple customers on a single chip of sending them to the correct back in lab for further processing, quality control, packaging and shipping. This in-house developed software, we use to track and direct these complex reduction processes in an automated manner enable us to rapidly go from order placement to shipping at scale and low cost, which is another true differentiator. This workflow speed and efficiency continues to provide the foundation for our revenue growth, specifically for Synbio, we reported revenue of [Audio Dip] million for fiscal 2022, an increase of more than 50% year-over-year and $21.6 million for the fourth quarter. The strength in Synbio came in across the board with genes and oligo pools extending significant growth. An important point to make is that, our products that generate revenue in our Synbio verticals are used by pharmaceutical, biotech, industrial chemicals and agricultural companies as well as academic labs, which ship approximately 558,000 genes in fiscal 2022 compared to 372,000 genes in fiscal 2021. To support our continued growth, we are ramping our Factory of the Future in Portland, Oregon with a 24/7 manufacturing team currently training and producing test products today. Of note, we have about 40 employees from South San Francisco that have moved to Portland, bringing with them experience in our manufacturing processes and intricate knowledge of the Swiss culture. These employees are now training our new employees. With 177 employees in Portland as of today, we remain on track to begin shipping products out of Portland in January 2023. Initial manufacturing in Portland will focus on genes, gene fragments, Oligo pools targeting a turnaround time of approximately 10 days to 12 days for genes, the same as our current average turnaround time for genes [indiscernible]. As we ramp production in Portland, we expect to introduce fast genes, which we believe will offer significantly faster turnaround time, enabling us to tap into the DNA makers market with premium pricing, while maintaining our position as the most cost-effective gene synthesis provider.  We expect to introduce fast genes in the fall of calendar 2023. I'd like to personally invite you to tour our Portland manufacturing facility. On Tuesday, November 29, we will be arranging tours for investors and analysts who wish to visit. Please contact Angela, if you'd like to give a tour. Turning to NGS. We continued our strong back half of the year with $29.2 million in revenue for the quarter, bringing our NGS revenue for fiscal 2022 to just shy of $100 million, above our guidance. For the year, NGS revenue grew approximately 37% faster than the market is growing. Orders coming at $28.2 million for the quarter, and we expect fiscal 2023 to again be back half loaded similar to 2022. I'd like to point out that recently, we shifted in service structure to our core business sales force. As we build our business, we moved from equal compensation for orders and revenue to one where sales commission is now 90% tied to revenue. Both orders and revenues continue to be important metrics to track, but the incentive for our sales team has shifted and along with it the significance of orders numbers going forward. If not, for the remainder of the organization, our bonus structure is based on both revenue and gross margin. On the market side, many of you are aware that the sequencing landscape continues to evolve with less expensive whole genome sequencing options now available and several new and exciting players introducing solutions for longer lead offerings. For Twist, these technical events will offer opportunities. Indeed, we are sequencer-agnostic and an enabler across platforms. We recently announced an agreement with Illumina, whereby we will manufacture and they will sell an Exome Target Enrichment kit. We believe that by leveraging their robust sales force and integrated installed base, we will reach a differentiated customer set. In addition, we're working with PacBio on the robust solution for their new Illumina sequencers. For Exome sequencing today we offer a complete workflow solution, including target arrangement, hybrid [indiscernible] blockers adapters, EDI, et cetera. As the cost of sequencing comes down, we expect that all time, some applications and groups will move from Exome sequencing to whole genome sequencing. When that happens, meaning when applications like germline sequencing, our government-funded initiatives to sequence populations move from Exome to whole genome sequencing, we will have an opportunity to continue participating through our [indiscernible] offering. For the very large market opportunities like cancer screening, the dynamic will be different. Indeed, they will still require deep sequencing and panel and exome sequencing will continue to be the mainstay. For instance, customers pursuing liquid biopsy or minimal residual disease, need deep coverage of specific genetic sequences, sometimes 5,000x coverage or more, in order to ensure capture the disease driving mutations at low allele frequency with high sensitivity. For these applications, we expect it to be cost per inhibitive to contract all genome sequencing, even as the cost of sequencing decreases significantly beyond what we see today. Additionally, we believe that the reduction in sequencing costs will encourage adoption of liquid biopsy and MRD assets, as overall cash costs will decrease and make them increasingly palatable for reimbursement and routing adoption by customers. Of note, in these applications, Twist product pricing is expected to remain constant, even as the cost of sequencing drop. When we introduced NGS offering in 2018, we anticipated this sequencing price reduction and our product portfolio evolved over time. In fiscal '21 and 2022, we introduced several new products in the NGS space with the vast majority targeting cancer. We have launched our methylation solution, methylome panel, CFDA controls for liquid biopsy and a rapid cost-effective patient-specific MRD panel targeting up to 500 mutations. And we have added Oncology Focus Alliance Panels developed by key opinion leaders at leading institutions like the Broad and Belo [ph]. These products support our efforts to enable our customers and dominate the workflow between the sample and the sequencer. Moving forward, we see growth in NGS coming from clinical investments of clinical investments of liquid biopsy testing, as well as taking market share in research applications. Because that is a long sale cycle for customers to add up our target enrichment panels, as they need to undergo pilot testing, verification, validation, regards reclearance and clinical testing before broad-based commercialization plan. Once we're including in a test that reaches the market, it is very sticky, as they will need to revalidate through the regulatory agencies for any changes. Today, we have about 16% market share for target enrichment and library prep. We have a lot of market share to gain to an addition to escalating volumes for customers who enter the commercial phase. We continue to win pilots, which bodes well for future growth. In biopharma, we reported $24.2 million in revenue for the fiscal year, tremendous growth over fiscal 2021 and yet still just short of our guidance. Revenue for '22 fourth quarter was $6.5 million, almost all of which came in September. Importantly, orders for the fourth quarter remained strong at $9.4 million, and we fully expect strengthened biopharma return in fiscal '23, given that in the conversations we are having, our positioning as the high-quality local feeder with a net partner now more than ever. For Twist Biopharma base in San Francisco, we currently have 59 partners in biopharma with 83 completed and 50 active programs. 59 of the 133 programs are at milestones and royalties associated with the projects. The Twist Boston team had 62 active programs ongoing as of September 30, 2022. As we look ahead, we expect continued growth across the portfolio as we are moving towards the combined product and service offering together with the Twist Boston team targeted for launch in the second quarter of 2023. Working together for a little over a year, we have incredible synergies that we believe will enable us to expand our reach and market share in the biopharma segment. With reference to Revelar, we did not see the outcome we are hoping for. We invested a small amount of capital to take a long shot. We do not exceed our original commitment, actually up quickly when the opportunity did not materialize. This illustrates our discipline when it comes to investment decisions. Moving to data storage. We now have 37 employees working on the team, including 31 engineered on incentives. We continue to bring up our proof-of-concept chip, which we expect will enable us to move from writing one megabase -- one megabyte of data to one gigabyte of data in a silicon chip. We are also working to integrate the chip into our prototype electrochemistry DNA writer system. This system will enable us to launch our first [indiscernible] pilot to early access customers. Importantly, the central archive is expected to set a new standard for archive data are retention longevity. In late October, we announced the appointment of Patrick Finn to our newly equipped position of President and COO. Patrick has been in the company for eight years, taking greater plant of controls and he demonstrated success. We conducted an external search for the provision and Patrick was a right person to lead our next phase of growth and fiscal responsibility. I look forward to partnering with Patrick and the executive team to achieve our aggressive objectives. With that, I'd like to turn over the call to Jim to take us through our financials. Jim?
Jim Thorburn: All right. Thank you, Emily. We had another great quarter and a terrific year of growth at Twist despite a volatile macroeconomic environment. Revenue for quarter four was $57.3 million, which brings our revenue for fiscal 2022 to $203.6 million with year-over-year growth of 54%. Orders were $62.1 million for the quarter, which brings orders for the fiscal year to approximately $226 million and that's an increase from $160 million last fiscal year and 42% growth year-over-year. Gross margin for the quarter was 44.9% and gross margin for the year was 41%, and that's up from 39% last fiscal year, reflecting improved leverage. We shipped to approximately 3,300 customers, and that's another record for Twist, and we closed the year with cash and investments of approximately $505 million. Our NGS business has another strong year and revenue was $99.3 million, which is 37% growth year-over-year. Our fourth quarter revenue was $29.2 million, and that's an increase of 36% year-over-year. This growth reflects the strength of our product portfolio with the top 10 customers accounting for approximately one-third of our NGS revenue and received approximately 1,200 NGS customers in fiscal 2022. Our pipeline for large opportunities continues to scale. We're now tracking 257 accounts, up from 249 noted on our last earnings call, 120 have adopted Twist, an increase from 114 last quarter. Now turning to Synbio, which includes genes, DNA preps, IGG, libraries and all good pulls. The Synbio revenue for the year rose to $80 million compared to $52.7 million in fiscal 2021, and that's an increase of 52%. Some of the highlights include shipping to approximately 2,300 Synbio customers. This includes a diverse customer base, including biotech and large pharma companies. Genes revenue increased to $61.5 million, and that's up from $39 million, and we shipped approximately 558,000 genes in fiscal 2022 and a significant increase from $372,000 in the previous fiscal year. Oligo Pools had a strong year with revenue of $12.4 million, up from $8 million in fiscal 2021 with increased demand primarily from the Healthcare segment. We continue to scale our antibody discovery business and revenue for fiscal 2022 was $24.2 million, up from $7 million in fiscal 2021. Nevertheless, was below the low end of our range of $26 million. As Emily noted earlier, orders of $9.4 million were back-end loaded in the quarter. And consequently, our quarter four revenue was $6.5 million, which was flat to the third quarter. For Twist Biopharma antibody platform, we now have 59 partners, up sequentially from 53 under 50 active programs with 83 programs completed then back in the hands of our customers of our total programs 59 include milestone and royalty agreements. Abaris, our Twist Boston business is doing well with 62 customers serviced in the quarter, including 36 projects on the Beacon platform. I'll now quickly cover our regional progress. EMEA revenue rose to $62 million -- $62.1 million in fiscal 2022 versus $44.1 million in fiscal 2021. APAC continues to deliver robust growth for revenue increasing to $19 million in fiscal 2022 from $10.3 million in fiscal 2021, and the US revenue was $122.5 million in fiscal 2022 versus $77.9 million in fiscal 2021. Now, moving down the P&L. Our gross margin for the quarter was 44.9% and this brings our overall gross margin to 31.4% for fiscal 2022. Note the gross margin includes stock-based comp of $4.5 million, depreciation of $6.5 million. Our operating expenses for the fiscal year, including R&D and SG&A change in fair value and mark-to-market adjustments of acquisitions was approximately $319 million as compared to $204.4 million in fiscal 2021. To break it down, R&D for the fiscal year was $120 million, an increase from $69 million in fiscal 2021. Core business R&D for fiscal 2022 contributed to $56 million compared to $37 million as we continue to invest in new products and process development. Antibody R&D was $25 million in fiscal 2022, up from $15 million, reflecting our continued investment in our antibody discovery business. Revelar spend was $14 million in fiscal 2022. Data storage spend was $25 million, up from $15 million in the previous year. We have previously given guidance that the original data storage spend would be $40 million. However, as the year unfolded, we managed that spend and manage that burn in data storage. SG&A for the fiscal year was $212.9 million, an increase of $135.9 million in fiscal 2021, and this includes compensation costs of $136 million, which includes stock-based comp of $65 million. Start-up costs in SG&A for Portland were $16 million in fiscal 2022, including approximately $6 million in compensation costs. Change in fair value of contingent considerations and indemnity holdback for the fiscal year resulted in a gain of $14 million versus a gain of $0.5 million in fiscal 2021. Stock-based compensation for the year was approximately $18 million as compared to $37 million in fiscal 2021. Our net loss before taxes was $234.8 million for fiscal 2022, as compared to $152.7 million for fiscal 2021, primarily due to higher OpEx costs we highlighted earlier. CapEx for the fiscal year was $102 million. Portland CapEx for fiscal 2021 and fiscal 2022, accumulative is a total in average of $87 million, which includes $46 million for improvements, $34 million for lab equipment and $7 million for capitalized software. We exited the fiscal year with $59 million in inventory and cash and investments of approximately $505 million as of September 30, 2022. I'd like to note, the report in conformance with accounting standards is published under U.S. GAAP, and there have been no material adjustments proposed by our independent auditors. I'll now provide guidance for fiscal 2023. We enjoyed strong bookings in quarter four, another record year of growth, however, due to the macroeconomic environment and as more SARS-CoV-2 variants continue to manage along with seasonal vacations this quarter, we're projecting our Q1 revenue to be approximately $54 million. And our fiscal 2023 guidance for the year is in the range of $261 million to $269 million. We estimate Q1 SynBio revenue to be approximately $21 million, and for the year to be $104 million to $106 million. We estimate Q1, NGS, to be approximately $25 million and for the year, $120 million to $123 million. North NGS down sequentially. The reason is a couple of our large customers are taking shipments in the first quarter, due to a seasonal impact of vacations. We estimate antibody discovery revenue for the first quarter will be approximately $8 million and for the year of $37 million to $40 million. Our fiscal 2023 gross margin is projected to be 39% to 40%, and our operating expense projected to be approximately $365 million for the year, which includes $138 million in R&D and $227 million in SG&A. Our net loss guidance before taxes for the year is expected to be approximately $260 million, which includes stock-based comp of approximately $83 million, depreciation and amortization of approximately $26 million and data storage expense of approximately $46 million. CapEx for fiscal 2023 is projected to be approximately $50 million, with another $20 million expected to be deployed in Wilsonville, and cash balance projected at year-end of fiscal 2023 is expected to be $300 million. For fiscal 2024, we're projecting revenue to be approximately $350 million, and that includes $50 million for antibody discovery. Gross margin of approximately 49%, OpEx to be approximately $386 million and operating loss to be approximately $215 million which includes stock-based comp of approximately $90 million, depreciation and amortization of approximately $35 million and data storage OpEx of approximately $57 million, CapEx were anticipating to be $40 million, and the year-end cash balance in 2024 is related to be $170 million. In summary, we had a record year and continue to build our capabilities, expanding our position as a provider of choice of high-quality, affordable synthetic DNA to customers across multiple industries. We're now a leading supplier of NGS sample prep. And we have scaled our antibody discovery capabilities and continuing to deliver on our DNA data storage strategy. Although there is macroeconomic volatility, we're excited about the opportunities ahead and are focused on executing on the financial projections outlined in today's call. With that, I'll turn the call back to Emily.
Emily Leproust: Thank you, Jim. As fiscal 2023 is now well underway, our focus remains on driving to our profitability in our core business. We've laid out the three-year guidance with the path to adjusted EBITDA and breakeven for the core business and we are targeting $8 million revenue to reach adjusted EBITDA breakeven for biopharma. In Synbio, we expect to generate initial revenue out of Factory of the Future in outside of Portland, Oregon in January 2023. As we qualify our production processes in this new facility, we will begin to add new products for Synbio that benefits from the larger square footage of the site, including Fast Genes, long panels, impossible genes and R&D-based products. For NGS, we expect another back half-loaded deal with larger customer producing liquid biopsy tests as they continue to run their commercial results. With sequencing costs coming down, we remain focused on expanding our reach in cancer and owning the workflow between the sample and the sequencer. In biopharma, we are planning an integrated portfolio of antibody discovery and optimization offering, capitalizing on efficiencies between our synthesis library approach paired with individual discovery from our Boston team both complemented by our machine learning and AI collaborations. In data storage, we have our first fully integrated seamless chip with electronic controls in-house, and are making good progress to bringing up the chip and our new pilot production in the data storage writer. We plan to launch our Century Archive solution as an early access offering in late calendar 2023. In parallel, we will continue to partner with leaders to set the stage for commercial success across the Century and accessible Archive solutions while preparing the market for DNA data storage. Overall, I'm reminded of the speech I gave when we went public a little over four years ago. At Twist, it hasn't always been easy. In fact, it has never been easy, but we always contribute to overcome the challenges we face. We have embodied the resilience and financial discipline throughout the organization to report another strong year of growth. And each day, we have the opportunity to go again at confident. With that, let's open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] One moment for our first question. Our first question comes from Steven Mah with Cowen. Your line is now open.
Steven Mah: Oh, great. Can you guys hear me?
Emily Leproust: Yes.
Steven Mah: Okay, great. Thanks for taking the question. A question on the gross margins. I know they're dropping in fiscal year 2023 as factor of the future scales and then Jim, you mentioned it grows to 49% in fiscal year 2024. Would you expect the utilization percentage of the factor of the Future in fiscal year 2024 to achieve that 49% gross margin guide? And then also, are you reiterating the 50% to 52% gross margins at $300 million in core revenues?
Jim Thorburn: Yes. So in terms of factor in future utilization, where we haven't disclosed what the utilization rate looks like. The 49% gross margin reflects the growth in top line revenue and does reflect improved utilization. And in terms of as we continue to scale the business, we're still -- we still see a line of sight in terms of achieving the longer-term gross margin of 55% to 60% for the business.
Steven Mah: Okay, great. Thanks for that. And then my second question, on MRD, Emily, you noted that the business is doing well. People are validating the MRD assays. Did you mean that the users are validating lab-developed -- your product for lab developed tests? And then the second part of that is could you give us a sense of your mix of your MRD customers? Are these reference labs, academic hospitals or basic R&D? Thank you.
A – Emily Leproust: Yes, that's a great question. Thank you, Steve. So as a reminder, we provide the regions to enable customers to run MRD test. So we are not selling our own MRD test, just to be clear. And so therefore, the majority of our liquid biopsy and MRD customers are diagnostic companies that are developing and validating their own test.
Q – Steven Mah: Okay, that’s helpful. I’ll hop back into the queue.
Operator: Thank you. One moment for our next question. And our next question comes from Catherine Schulte with RW Baird. Your line is open. 
Catherine Schulte: Hi, thanks for the question. I guess first, maybe the step down in NGS orders sequentially. Can you just talk to the drivers there that were going on?
Jim Thorburn: Yes. I think a couple of issues. We had some large orders come in the previous quarter. And as we noted in the call, a couple of our customers are actually seeing -- asking us to ship in the first quarter of calendar year. So that's just step down and orders is just a onetime event as these customers are pushing their orders out in Q1. We got a very strong backlog in terms of the number of customers. Our pipeline continues to grow. So we're feeling good about where we're at. We're just dealing with, I think, the year-end vacations. We see some impact of lockdown in China. And at the same time, our customers are signaling strong outlook for us on our NGS products and we anticipate that the quarter one of fiscal next year is going to be strong.
Catherine Schulte: Okay. Got it. And then I think probably given the events of this week, you highlighted that no material adjustments have been proposed by your auditors. Can you -- you've had a material weakness that's been highlighted in your filings for a while now. Can you just talk to how those remediation efforts are progressing? And any other comments you can make regarding the short report from earlier this week?
Jim Thorburn: Yes. So Thanks, Catherine. So eventually, three material weaknesses, one on order entry, other on journal entries and other on ITGCs. We've remediated the order entry weakness, we remediated general entry weakness on ITGCs [ph]. The ITGC issue that remains, and that's purely due to user access issues. No impact on our financials. And in terms of the short report, a couple of things that brought up in the short report. We in the business, I mean, we worked with both PwC and Ernst & Young. PwC is a great firm. We moved to Ernst & Young, because if you look at our business, we've significantly grown our health care business. Ernst & Young is a strong health care practice. We collaborate well with our auditors. And as highlights, we get no material weaknesses. And in terms of some of the personal references against me, I actually helped out an organization. We have got 230,000 ladies in prisons in this country to build careers, help they get trained, they get development and a lot of them moved on to be executives and companies and I think is a great social impact. And I had actually new share ownership. I was offered shares, but I decided to – I declined that I would prefer to believe a share the statements in the report are totally wrong.
Emily Leproust: And, Catherine, just as you know, we won't comment further on the short report. We're very happy to take questions on the business, but our state metal Mondays and the great transparency that we strive to always provide as a management team speaks for itself.
Catherine Schulte: Right. Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from Matthew Sykes with Goldman Sachs. Your line is now open.
Matthew Sykes : Hi, good morning. Thanks for taking my question. Emily, maybe the first one for you, just on the gene maker market as it relates to factor the future capacity? I know you've mentioned in the past, it's like a $1.4 billion market. And what characteristic that's important to them is turnaround time. Could you maybe just talk a little bit more about the improvement in turnaround time that factor of the future will bring and just kind of talk a little bit more about, because I think originally, you thought that price was going to be a defining factor for that market, but it's really turnaround time. Could you just talk about what that market is really looking for? I'm sure it's turnaround time, but in addition, what else and how you can unlock that market to solve for the capacity that you're building with factor of the future to make sure that there's a significant enough market out there for what you're building?
Emily Leproust: Hi, Matt. For the question, Matt, now that we've been in the marketplace for a number of years, we shipped more than 0.5 million individual tube and genes this year alone. And so we have a really good grasp of what customers want and what we see in the makers market. There is the two groups. There's the big companies that in-source the work as well as academic labs that products and resident that need DNA. What we find from those groups is speed is very important for them. And even if the DNA was free, they would not get it from us at the speed that we have now, which is industry average. And so that's why we made an effort to lay a plan to offer them gene synthesis that is the same or faster than if they did it themselves. And the reason why we can do that is when we analyze the process that we use in South San Francisco, the 20-step back-end process of gene synthesis. It is not a linear production process today. It's 20 steps, but we have 10 machines and so basically, the same order has to go to a machine twice, and that create conflict. And when we analyze the data, everything is logged in a data basis. We found that DNA is spending half of its time in freezers waiting for the next machine to be available. So we know that intrinsically, the fact the process can be half as fast if we can remove those production bottlenecks, where the plate is waiting for the next machine. And that's what we've done in Portland. In the Portland facility, we now have 20 machines such that it's a true linear production chain. And plays go into one machine and we finish goes directly to the next one to the next one and there is no wait time. And so that's why we think it's – we feel it' it's a low risk on the process side because we are not changing in the chemistry. We're not in the instrument. It's the same process. It just – there's no wait times between steps. So the combination of that market understanding with the different layout of the back-end production in Portland will enable us to offer five genes. And that will unlock the makers market. There's a slow in addition, a commercialization strategy to leverage e-commerce and digital marketing. And so we will be making great effort on our e-commerce in our B2B solutions to make sure that, when we have five genes, the transactability that the customer has to go through to work with intuitive, frictionless and beautiful.
Matthew Sykes: Got it. Thanks, Emily. And then, Jim, one for you. Just looking at the fiscal 2024 guidance on the OpEx is $386 million, I know that there's $57 million of that is DNA storage. Could you talk a little bit about your expectations for R&D versus SG&A split within that $386 million and where the flexibility is within those two segments the SG&A versus R&D for that $386 million to maybe come down a little bit as you start moving closer to that time period.
Jim Thorburn: Yeah. So in terms of the three specs, we haven't broken out the R&D portion. The flexibility we see is in terms of SG&A as we intend to continue to grow and leverage our investment in infrastructure. We've been clearly – as you can see, the slowed down the rate of growth of OpEx, we've been investing heavily over the last few years, building out our organization infrastructure. And as we continue to scale the top line, we've highlighted in previous calls that OpEx will grow at a slower rate than top line growth. And as we continue to manage our data storage investment, continue to manage our SG&A, in particular, our back-end office infrastructure, we'll continue to see – to manage that cost base going forward, which will then support us getting to adjusted EBITDA to breakeven and getting to positive income. So we're very close to that at end of 2024. As you can see, we've got plenty of cash runway as we get to close to that adjusted EBITDA to breakeven, and we have the opportunity to manage our data storage spend.
Matthew Sykes: Got it. Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from Luke Sergott with Barclays. Your line is open.
Luke Sergott: Great. Good morning, everybody. A couple of cleanup -- one cleanup here. So can you give us the FX assumption for next year? And kind of give us a sense of how that trended throughout this year as well?
Jim Thorburn: Yes. So, look, it's Jim. Good morning. So in terms of FX, most of our business is actually in dollars and most of our costs are actually in dollars. So, although, there's a maybe 10% impact, is not as a huge impact in our business so far. In terms of the pricing on a go-forward basis, we're actually with a lot of our NGS, particularly, some of our larger customers who already locked in the prices. So, in terms of FX, yes, we see some impact around the fringes, but it's not a significant headwind for us.
Luke Sergott: All right. Cool. Thank you. That's fine. On the rest of the business, so you talked about the NGS push-outs. So what are customers saying on why they push those orders out to 1Q? And is this related to anything to all the new technologies out there?
Jim Thorburn: I'm not aware of the -- it's not where it's new technologies. It's just in terms of timing. The couple of customers that I'm aware of, it's just a matter of timing, to head in December, it's going to be shipped in January. And that's based on their end customer demand. So I haven't had anything on the technology side Emily, if any?
Emily Leproust: Yes. No, I think it purely period of timing of their business. So we have experience and the last weeks of December are always awkward in shipping, and this year is especially awkward. And so we think that most of our customers will be shut down the last week of December. And so, we are planning for that.
Luke Sergott: All right. And then one last one for me is, you gave the 2024 guide and the growth assumption here of roughly flat growth and by -- 30% is very impressive in itself. So just wondering why -- what's the assumption here, no acceleration from factory of the future coming online? Is it something like that your -- that the growth is really satisfying the printers coming online and then you guys are going to bring more on, on 2024, as you continue to scale the business? And then, any of the mix dynamics as it goes to Synbio or NGS as the factory of the future ramps, because there's a margin implication here.
Jim Thorburn: Yes. So in terms of factory of the future ramp, we're seeing roughly -- I mean, it's early days, yes, but we're seen roughly 50%, 50% in terms of the Synbio, NGS mix. In terms of outlook, the macroeconomic environment is still volatile. So we're protecting a couple of years here. So we're always prudent in terms of our forecasting. In terms of capacity. We've made the investments. I think in terms of overall, in terms of factory of the future, we've made, what, about $87 million investment, we got another $20 million to go, and that's consistent with the previous guidance we've given. And that's going to be ample capacity supports getting to the $350 million and beyond. So we don't see any headwinds from a capacity point of view as all that into as analysts highlight the – the execution and then executing on the makers market.
Luke Sergott: Great. Thanks.
Operator: Thank you. One moment for our next question. And our next question comes from Vijay Kumar with Evercore ISI. Your line is now open.
Vijay Kumar: Hey, guys. Thanks for taking my question. Jim, I had one on accounting here. I think one of the points raised by the short orders, COGS being classified as CapEx. Can you comment on that? And when I looked at the last the third quarter 10-Q, some of the cost, the operating lease costs associated with Factory of the Future when in OpEx, is that a change from how expenses were being recorded in the past, or is this as you move into a lease facility and it's just how the accounting works, maybe address those two issues?
Jim Thorburn: Yeah. So in terms of COGS being moved onto the balance sheet, that – it's an interesting observation, I have no idea where that comes from. If you look at the growth and the investment in CapEx, we laid out on one of the slides today for Portland we've invested about $4 to $6 million in tenant improvements. We took over essentially building the need this 100,000 square feet tenant improvement – interest and shows invoices. It's all building out the structure for the labs, installing all the offices, all the piping, et cetera. So the items that are associated with the investment in Portland, sitting on our balance sheet. In terms of -- what was the other part of your question, Vijay?
Vijay Kumar: The operating expense, some of the lease expenses related to a factor of the future that's going under OpEx. Is that a change versus prior and….
Jim Thorburn: The leasing expenses related to the Factory of the Future is part of startup and that prior to factory qualification that is sitting in SG&A, and that was $16 million for this year, and we call that out every quarter. So there's been no change in how we account for that.
Vijay Kumar: Thank you. And maybe one on the gross margin cadence here, what's the confidence here that the gross margins are going up by 900 basis points from fiscal 2023 to 2024, that seems like a very steep ramp, Jim. And when I look at Q1, is there any first half versus second half cadence issues here on gross margins when I look at fiscal 2023?
Jim Thorburn: Yeah. So if you look at last quarter, our gross margin was 45%. As we scale through the Factory of the Future and improve our utilization and we are successful in terms of growing in the makers market. We've got a number of levers there. You get the impact of reduced under impact of reducing underutilized capacity. Second is in terms of the makers market, Emily has highlighted, the faster genes, we get a higher price. We get good leverage there. In terms of investments in terms of R&D, if you look at our R&D, that was another point made in the short report that our R&D increased from $70 million to $120 million, where we increased the investment in Synbio NGS from $37 million to $56 million slide in this just to give transparency. I mean -- so we hired additional scientists. We're increasing our investment in NGS and Synbio. What does that mean? We keep refining our processes and keep launching new products. So, you're going to have a combination of scaling the Factory in the Future, seeing growth in revenue, improving our position in the makers market in terms of growth in makers market and launching new products. All those elements contribute to improving our gross margin. And just while I'm on the comment, the overall R&D increased from $70 million -- roughly $70 million, 2021 to $120 million. D& A storage was up by $9 million. Revelar's a one-time event. We spent $14 million in Revelar R&D in 2022 that will not happen in 2023, and then in terms of antibodies, we've stepped up our investment in antibodies. So, we'll actually see growth in biopharma business as well and that contributes to our gross margin improvement.
Vijay Kumar: Understood. And if I may, one last one. Revenues are up. I think when I look at the 2024 guide versus 2023, the initial expectations of revenue is up 30%, the OpEx up, I think, 6% and I think our cash OpEx ex-FPC is low singles. Is that level of SG&A spend R&D spend, is that enough to sustain the growth here?
Jim Thorburn: Yes, I mean, we look back over the last couple of years. We have increased back to my point there in terms of R&D for Synbio and NGS, we after spend from $37 million in R&D, Synbio NGS in 2021 to $56 million. So, what's that about 50% growth. So, the advantage of the Factory in the Future is fast turnaround time and fast genes, which allows us access to the makers market. So, it's a combination of historical investment and the impact of the Factory of the Future and our investment in antibodies that allows us to deliver the growth that we're projecting.
Vijay Kumar: Understood. Thanks guys.
Operator: Thank you. And the next question comes from Puneet Souda with SVB Securities. Your line is open.
Puneet Souda: Yes, hi guys. Thanks for taking the questions. So, first one, what are you hearing from European customers in terms of the order book? And wondering if there was any NGS order book impact from that. Could you just elaborate just given the market conditions in Europe, we've been getting questions on that.
Jim Thorburn: So I can -- so in terms of order book, the Q3, Q4, a sequential step down. However, what we are hearing from our customers is kind of selective. The outlook looks good. Some orders are being pushed out from -- as a little bit pushed from Q4 into Q1. The conversations of liquid biopsy are good. Conversations with MRD are good. Europe, we actually had a strong quarter in Europe, which kind of surprised us, September. We anticipated that year it would have been a little bit weaker. And September was strong. And we're encouraged by what we're hearing on the China side. We have seen a little bit of impact of lockdowns. And that will impact us sequentially from Q4 to Q1 talking about our fiscal Q4. So September to December quarter, we will see China -- Asia being down, but that's the impact of lockdowns in China. Overall, the feedback from customer base is strong by that is because of the quality of the product. We have a low-cost quality provider. And this environment suits Twist.
Puneet Souda: Okay. That's helpful. Emily, if I could ask on the liquid biopsy customers. I don't know if you provided that number, I think you had about 20 or so liquid biopsy customers in the past. Could you quantify, just given all the questions lately being asked, could you quantify how large of a book of business is liquid biopsy today? And are these early validation versus any commercial products where your probes are being utilized and what are your expectations for contribution in 2023 from these liquid biopsy customers because that's obviously an important driver even with the NovaSeq X plus launch, which is targeted more towards whole genome shift.
Emily Leproust: Yes. Maybe I'll start and Jim can fill in. Yes, we're actually are starting to see revenue from customers that are likely in the commercial phase. We ship probably not always easy to know how they are used with customers if it's in validation or pilot. But in the past, most of our revenue was for the R&D, the development of the test but as we find bigger contracts and get bigger orders, now we're going to see a slow orders in the commercialization phase. It's what we can see, but...
Jim Thorburn: No, there's not more I can really add but on our large accounts continue to grow. We feel well positioned with liquid biopsy and the other applications. And we discussed some of the feedback from customers. Some of it's timing. We continue to make inroads in the market. And it's all about execution over the next year. We have a great cash organization. We've got great products, so.
Puneet Souda: Okay. Anything you can elaborate in terms of sort of how should we think about in your guide for 2023 and 2024, obviously, by 2024, these would be a larger customer. So just wondering in terms of overall contribution that you could see from liquid biopsy?
Jim Thorburn : No, we don't bring that out. And the reason for that is we have agreements with our customers. So the only customer, I think that's gone public is GRAIL.
Puneet Souda: Yes. Okay.
Emily Leproust: I think the one point we can comment is what we shared before is liquid biopsy is a big strategy, a big part of our strategy for revenue growth and that's why we have good confidence in our abilities to deliver this as assay go commercial.
Puneet Souda: Okay. That's helpful. And if I could ask a more broader question. Just given the sort of the questions that have been asked lately in terms of pricing, what is your philosophy here in terms of pricing versus the market? Obviously, you've been competitive in the past. And as we -- as you scale in the Factory of the Future, could you sort of elaborate about your pricing expectations? Because I think the question is, this is a higher inflationary environment, and you are getting some benefits from the COGS at the Factory of the Future, but just could you elaborate a little bit on how are you thinking about pricing in 2023 and within the guide that you've laid out? Thank you.
Emily Leproust : Yes, so factory inflationary environment can be a little bit useful for us actually in production because since we use so much less regions than anybody else, if the regions go up 5%, 10%, 20% in prices, how the impact to us is a lot less significant than on the competition, so we were quite small. I think when we signed the lease in Portland, it's a very long-term lease and when we basically cap the rate of increase on the rent for a long time. And so basically, we have rent at lower than inflation. So that's another great benefit to us. So that's on the cost side. And then on the on the price side of it is to be value priced. And so when we launch our fast genes. And we expect that the ASP for fast genes going to be higher. However, it will be the exact production facilities. And so therefore, we anticipate that margins will increase. Similarly, when we've launched the IgG product line, that is a great opportunity for us. IgG require 2-genes to make 1 IgG and the ASP is somewhere between $500 to $800 depending on the flavors of IgG that customers want. And so again, that's an opportunity for us to boost our margins. So we're always looking for opportunities. And as we go up the value chain, either in fast genes or long gene or impossible genes or IgG, RNA product, you can see that those are more differentiated, harder to make products, but still all help us dominate because of the silicon chip. They come from the silicon chip, but because they have their other and higher-value product, we'll be able to charge a premium for it and improve our margins.
Puneet Souda: Got it. Okay. Thanks, guys.
Operator: Thank you. One moment for our next question. And our next question comes from Rachel Vatnsdal with JMP [ph] Chase. Your line is open.
Rachel Vatnsdal: Hi. Thanks for taking the questions and fitting me in. So, first up, on DNA data storage, you mentioned that you're launching that offering for early access customers late next calendar year. So can you just talk about how much of a contributor do you expect that DNA data storage to be towards the $350 million revenue guide in fiscal year 2024? And then, can you remind us what is the gross margin profile for that DNA data storage offering expected to be? Thanks.
Jim Thorburn: So we don't break out the data storage revenue contribution in the $350 million. Long-term gross margins for data storage could be quite compelling. Initial models indicate anything from 60% to 65% gross margins. Why is that? One is, because of the technology. We do have a leading position in the marketplace. And our expectation is, we're going to leverage our investment under IP and that will be reflected in our gross margins. And what was the -- 
Rachel Vatnsdal: Great. And then there's a follow-up.
Jim Thorburn: Okay. Sorry, Rachel.
Rachel Vatnsdal: Yes. Yes, you answered both of them. And then, just as a follow-up on that. You had previously mentioned that you were developing enzymatic approach to support a full commercial launch for that DNA data storage. So can you just give us the latest update on your enzymatic offering? And what milestones do you have left before you can -- how that enterprise should, fully developed? Thanks.
Emily Leproust: Yes. I think, it's a great question. So we're not giving an update at this point on enzymatic synthesis, except to say that we are incorporating the chip, the CMOS chip that we have with the enzymatic synthesis to help drive our DNA data storage process. So we are reemphasizing that enzymatic synthesis is going to be a key strategy of our better storage product offering, but we are not giving any technical update at this point. However, what we are looking for is, developing the process and to be able to add basis to do it at high quality, to do it at high speed. And most importantly, is to do it as low COGS. Jim just mentioned our margin profile and it cannot be done with 10,000 enzymatic synthesis where the NTP is not tethered to the enzyme. The only way to get low COGS and high margin is to tether that NTP to the enzyme. So I think -- we think our approach is a winning approach. We’ll pick the most appropriate time for us to get the biggest bang for our buck in terms of releasing technical details. We like what's happening and we like our progress. But we’ll reserve details for another day.
Rachel Vatnsdal: Sounds great. That’s it for me. Thank you.
Jim Thorburn: Thank you.
Emily Leproust: Thank you.
Operator: And the next question comes from Matt Larew with William Blair. Your line is now open.
Madeline Mollman: Hi, thank you. This is actually Madeline Mollman on for Matt Larew. Just wanted to -- one quick one from us. Within biopharma, you've talked about it taking between 18 and 24 months for partners to go from working with you to filing an IND application. Since you've now been doing this program for over two years, could you talk a little about when you start -- are expecting to start to see some downstream milestones and royalties?
Emily Leproust: Yes. Thank you so much. Actually we have a robust effort internally to track the progress of those assets and we have our own model on our views of the value. And at this point, we're not quite ready to announce any of those milestones and royalty. But as we've said in the past, those will be upside to our plan. So, stay tuned. It's definitely something that we track with our partners because we definitely are looking forward to both the utilization as well as the sensitive validation. One last point I'll make. That being said, again, we are not in the business of subsidizing our partners. And so as a reminder, we do make about 50% to 60% gross margin on the upfront fee that we charge. So, the margin-related triggers will be upside and additional monetization on top of the gross margin that we made on the work that we did.
Madeline Mollman: Great. Thank you.
Operator: Thank you. Thank you for your questions. At this time, I'd like to hand the conference back over to Emily Leproust for closing comments.
Emily Leproust: Thank you very much for joining us today. I'd like to wish you all a wonderful Thanksgiving holiday this week. And hopefully, we see some of you live in Portland following the holidays and others virtually at the Evercore Health Care Conference in December. With that, thank you very much.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.